Operator: Good day, ladies and gentlemen, and welcome to the third quarter 2008 eHealth earnings conference call. My name is Fab, and I'll be your coordinator for today. (Operator instructions) I would now like to turn the presentation over to Kate Sidorovich, Director of Investor Relations. Please proceed.
Kate Sidorovich: Good afternoon, and thank you all for joining us today either by phone or by webcast for a discussion about eHealth Inc.’s third quarter 2008 financial results. On the call this afternoon we will have Gary Lauer, eHealth’s President and Chief Executive Officer, and Stuart Huizinga, eHealth’s Chief Financial Officer. After management completes its remarks we will open the line for questions. As a reminder, today’s conference call is being recorded and webcast from the Investor Relations section of our website. A replay of the call will be available from the Investor Relations section of our website following the call. We will make forward-looking statements on this call. All statements other than statements of historical fact are forward-looking statements. Forward-looking statements made on this call will include statements regarding Citigroup’s plans to promote eHealth Insurance, our intention to expand marketing of the HSA platform, CareFirst’s plan to make our e-commerce solution to available to consumers and brokers, IHC's plan to use eApproval to gain competitive advantage and get faster traction, eApproval serving as a competitive advantage, increased carrier recognition over the benefits of eApproval, our intention to work closely with the government on healthcare policy, the likelihood and limitations on the scope of healthcare platform reform, the impact of any healthcare and tax reform, our ability to maximize opportunities in connection with healthcare reform, the duration of the current economic conditions and impact of our investment approach, our plan with respect to marketing messaging, our investment approach positioning us well to weather the market environment, fourth quarter interest income, our effective tax rate for 2008, our projected rate for payment of cash taxes, a data center expansion project and its impact on capital expenditures, guidance for the full year 2008, and guidance relating to stock-based compensation expense. Forward-looking statements are based on assumptions and assessments made by the company’s management, based on factors they believe to be appropriate. Forward-looking statements are subject to risks and uncertainties that could cause actual results, developments, and business decisions to differ materially from those contemplated by these statements. We describe these and other risks and uncertainties in our annual report on Form 10-K and quarterly reports on Form 10-Q filed with the Securities and Exchange Commission, which you may access through the SEC website or from the Investor Relations section of our website. Forward-looking statements made on this call represent the company’s views as of today. You should not rely on these statements as representing our views in the future. We undertake no duty to update or revise any forward-looking statements made during this call, whether as a result of new information, future events, or otherwise. We will be presenting certain financial measures on this call that will be considered non-GAAP under SEC Regulation G. For reconciliation of each non-GAAP financial measure to the most directly comparable GAAP financial measure, please refer to the information included in our press release and in our SEC filings, which can be found on our corporate website under the heading Investor Relations. And at this point I will turn the call over to Gary Lauer. Gary?
Gary Lauer: Good afternoon and thanks everyone for joining us today. I’d like to begin by highlighting our financial results for the third quarter. Our total revenue of $28.5 million grew 24% over the third quarter a year ago. Earnings per share was $0.12. Non-GAAP operating margin, excluding the effects of stock-based compensation, was 19%. And we generated $8.3 million of operating cash flow during the quarter bringing our overall cash and marketable securities balance to $143 million. We believe that our financial performance posted during a very challenging and uncertain economic environment further illustrates eHealth’s sound business model and company-wide commitment to execution of our plans. Of particular note during the past quarter is our submitted application and growth of 20% year-over-year. We experienced healthy submitted application growth across all of our member acquisition channels. In addition to our application growth, we also made important progress in a number of key strategic areas, including additional eApproval projects, signing of a large e-commerce on-demand transaction with a significant carrier, and further expansion of our growing marketing partner network. I’d like to make some more comments about our application growth. Throughout the third quarter, I tried to be very clear both inside the company and out that we were not going to wait passively for the economy to get better. While the economy and consumer spending environment deteriorated during the third calendar quarter, we were developing and implementing a wide range of aggressive marketing initiatives that are specifically tailored to today’s economic realities. In the traditional media area and through our PR efforts, we are heavily stressing an affordability message and educating consumers that health insurance isn’t a discretionary item, but rather something they need and can afford through eHealth. For example, our marketing campaign, which emphasizes that health insurance can be bought for the cost of a latte a day, has been very effective. During the quarter, we continued to refine our page search efforts to maintain our leadership position in this very important channel. We continue to expand our marketing partner channel by adding new blue-chip partner names and finding new innovative approaches to co-branding and marketing campaigns. And across all of our marketing channels, we are aggressively pursuing consumers who have been recently laid off from their jobs by offering attractive, affordable alternative to COBRA health insurance coverage. I will expand on all of these areas, but what is important is that today, as before, our member acquisition remains highly diversified and profitable. During the third quarter, we experienced year-over-year growth in each of our member acquisition channels. For the third quarter, online advertising was 28% of our individual and family plan submitted application volume, marketing partners were 33%, and direct accounted for 39% of our IFP submitted applications. The contribution from all of our channels and initiatives has allowed us to re-accelerate our application growth and there is not a single program, I’m glad to say, that was the key driver of application growth during this quarter. It’s also important to note that our marketing and advertising spend was 40% of revenue during the quarter. Although this is marginally higher than our traditional spend, we are comfortable with this increase and believe it allowed us to bring in incremental and profitable new members during the quarter. Turning to our marketing partner channel, we closed on several new marketing partnerships during the quarter and recently added OptumHealth Bank, a leader in HSA assets, as part of our HSA outreach program. We are also pleased to announce a new partnership with Citigroup, an excellent brand name and a leader in several important financial verticals. Citi is planning to promote eHealth Insurance to their multiple distribution channels, including consumer, small business, and professional credit card holders, and through their affinity partner channel. In the third quarter, we got good consumer exposure through Sears and American Airlines, both Citigroup affinity partners. Specifically, Sears launched multiple banners on their website, advertising eHealth to their Citi cardholders, while American Airlines conducted an e-mail outreach program introducing eHealth to the American Airlines Advantage Citi cardholders as well. We are expanding our efforts and outreach in the COBRA alternatives market with a goal of establishing eHealth as the COBRA go-to expert in the human resources and benefits community. We also enhanced our COBRA learning center by adding a new interactive calculator to allow consumers to compare their COBRA premiums to more affordable individual and family products. Our COBRA learning center can be found at cobralearning.com and is being used more and more by HR professionals and individuals during difficult job transitions. We also launched a co-branded COBRA Learning Center with Willis Group for use by their agents and clients. Additionally, we added a new COBRA administrator, eflexgroup, as a COBRA marketing partner. Our BusinessHSA platform continues to make progress. Our pilot program is currently available in 35 states and the District of Columbia for both eHealth direct traffic and through our partnership with the National Federation of Independent Businesses. We also now have exposure on the US Small Business Administration, HSA resource center website. We are encouraged by these results and intend to expand marketing of the program during the coming quarters. In the online advertising channel, our year-over-year IFP application growth showed an increase over the second quarter of 2008. This was driven primarily by a small increase in the year-over-year growth in our click-throughs, our major search engines, and the increased efficiency in converting our IFP quotes in the submitted applications. Importantly, we continue to capture a dominant share of the overall search share of page directly and through our marketing partner relationships. The direct channel remained the largest contributor of submitted applications at 39% of total application volume. During the quarter, we did significant media outreach and we are featured in such leading publications as Forbes, the Wall Street Journal, Chicago Sun-Times, and on The Today Show, to mention a few. The eHealth message of affordable access to quality insurance resonates well with reporters and readers. In the third quarter, we also ran television commercials on national cable networks, and broadcast various direct response rate radio advertisements as well. We are pleased with our progress in television and radio, and believe that these activities impacted all of our customer acquisition channels, especially direct. We continue to build up on our carrier relationships, adding new products to our website, achieving deeper integration through eApproval and enjoying good traction with our licensing and sponsorship businesses. During the third quarter, we introduced new products with Coventry Health in Tennessee, Mississippi, and Maryland; Golden Rule in West Virginia; Dean Health Plan in Wisconsin; Companion Life Health Insurance in Tennessee and Texas; and Golden Rule Dental in Alabama and Ohio. In October, we also launched two additional carriers in three states on our licensing platform that we call eCommerce On-Demand or EOD. This brings the number of carriers on EOD to 29 in more than 72 carrier states. I would like to highlight our EOD relationship with CareFirst, which was signed during the third quarter. It’s an important transaction because we had a recognized brand name with a large member base and a broad broker network to our platform. CareFirst BlueCross BlueShield is the market leader in Maryland, Washington DC, and Northern Virginia with membership of nearly 3.1 million people. CareFirst plans to make our e-commerce solution available on a direct-to-consumer basis, replacing CareFirst’s internal solution as well as to the CareFirst broker network in these three markets. Products available on the site will include CareFirst individual health plans and ancillary products like dental. In our sponsorship business, 31 carriers participated during the third quarter by paying us to sponsor or highlight a specific plan for their brand in a specific geography. This represents a 11% increase over the second quarter of 2008 when 28 carriers participated in our sponsorship program. Now I’d like to give you an update on our progress with eApproval. We are happy to announce that this week we rolled out eApproval, the eApproval platform to IHC under the Companion Life brand in six states, including Ohio, Illinois, Texas, Michigan, North Dakota, and Tennessee. Our implementation with IHC is a good example of a carrier using eApproval to get traction in the market. IHC is a relatively new entrant into the individual and family market, and they intend to use the eApproval feature to gain competitive advantage against larger players and get faster traction that is possible through traditional means. We also deployed eApproval with Standard Security Life short-term health insurance, an IHC member company in 45 states, which is the second carrier after Assurant to offer the instant approval functionality for their short-term plans on our site. We also have new data on the performance of Anthem Blue Cross plans with the eApproval feature in California. In the 180 days between its launch and the end of the third quarter, the application growth for eApproval-enabled Anthem plans exceeded 89% as compared to the 180-day period prior to the launch. Given our shift to brand level and away from plan level sponsorship, we can’t isolate the impact of Anthem status as a sponsored carrier in the State of California. So it’s important to note that some of the growth may be attributed to Anthem’s sponsorship programs on our website. It could also be impacted by other factors such as seasonality, market activities, and Anthem’s recent introduction of its SmartSense products. However, these results are still significant. We continue to see eApproval as a strong competitive advantage for eHealth and for our carrier partners that are deploying it. As we share our successes of eApproval-enabled plans with the market, we believe that more and more carriers will recognize the benefits of this technology for their business as well. On the public policy front, we continue to monitor closely the Presidential and Congressional elections, as well as the candidates’ plans for healthcare reform and covering the uninsured. As a company, we have a keen interest in seeing appropriate action taken to cover the more than 45 million Americans who are estimated to be uninsured. And we intend to position ourselves to work closely with the new administration in Congress on any such efforts. We recognize that the current and expected budget realities such as the $483 billion current deficit and the $700 billion rescue bill will likely limit the scope of any legislative effort to reform healthcare and that more modest or budget neutral proposals are likely to have better traction in this challenging environment. Nevertheless we believe that any action to reform the current inequity in the tax treatment of health benefits, which only those Americans who happen to have access to employer-sponsored health coverage currently enjoy, will necessarily enhance the role of the individual market where eHealth dominates. Likewise, the possibility of either a mandate for coverage or the introduction of other mechanisms to achieve near universal access to private health insurance represent very important opportunities for eHealth, and we intend to maximize them. I’m also pleased to report that John Desser has joined us as Vice President of Public Policy and Government Affairs reporting directly to me. John was most recently Deputy Assistant Secretary for Health Policy at the US Department of Health and Human Services. Prior to HHS, John was a lobbyist and served on the staff of members of the House and Senate. John and I will be working closely with legislators and public policy people in Washington DC and several states to provide them with much needed information and knowledge about the growing individual market. We are pleased with our results during the quarter, during what was frankly the most challenging business environment we’ve ever seen. Everything we see, lead and hear leads us to believe that current economic conditions may continue well into 2009. And we plan to be even more aggressive with our marketing messaging because we believe strongly that our product and service is uniquely positioned to help people in this very uncertain time. And now I’d like to turn the call to Stuart who will take you through our financial results in greater detail for the third quarter. Stuart?
Stuart Huizinga: Thanks, Gary. Good afternoon, everyone. I’ll now review our financial results for the third quarter of 2008. As Gary mentioned, we are pleased with our application growth during the quarter. We again generated solid year-over-year growth in revenue and operating cash flow, and posted operating margins reflective of our record application volume. Starting at the top line, our revenue for the third quarter was $28.5 million, an increase of 24% over the third quarter a year ago. Commission revenue was $25.8 million, an increase of 21% over Q3 2007. Our year-over-year commission revenue growth was mainly due to growth in our membership base. Sponsorship, licensing, and other revenue was $2.7 million in the third quarter of 2008, a 60% increase over $1.7 million in the third quarter of 2007. In the third quarter, we had 144,400 new approved members. Our total estimated membership at the end of Q3 2008 was over 602,000 members, which represents 23% growth over estimated membership we reported at the end of the third quarter of 2007. Our individual and family major medical plan estimated membership, which generates the majority of our commission revenue, grew 24% compared to the estimated membership we reported for the third quarter of 2007. In the third quarter, we achieve 20% year-over-year growth in individual and family major medical plan submitted applications, up from 18% reported in the second quarter of 2008. I would like to comment on number retention, but before I do, I would like to remind you that when we estimate churn, we use trailing historical data. And so our third quarter view of retention is based on data from the first quarter of 2008. Based on this information, our estimated member retention rate remained within our historical range, but declined slightly as compared to the estimated retention rate we discussed in the second quarter earnings call. We continue to estimate our revenue weighted average product retention to be in excess of two years. In the third quarter of 2008, our non-GAAP operating expenses, excluding stock-based compensation as a percentage of revenue, increased by approximately 350 basis points as compared to the third quarter a year ago, driven mainly by increased marketing and advertising spend. Our non-GAAP marketing and advertising expense, which excludes stock-based compensation expense, was 39.9% of revenue in the third quarter as compared to 31.6% in the third quarter a year ago. As Gary mentioned earlier, we are comfortable with this increase and believe it allowed us to bring in incremental and profitable new members in this challenging environment. Another thing to keep in mind is that the third quarter is seasonally high in terms of application volumes, and as a result, marketing costs. In fact, this quarter was our all-time highest submitted application volume quarter. One of the metrics that we use internally to measure the return on our investment in member acquisition efforts is the length of time we estimate it will take to recover the upfront marketing and advertising costs per new member. We use our marketing and advertising expenses for the quarter from our P&L as the aggregate cost of acquiring new members. This metric continued to be very favorable for us. Based on third quarter 2008 commission revenues earned per estimated member per month, it would take approximately 6.5 months to recover the cost of acquiring the new members we estimate that we added in the third quarter. Assuming revenue weighted average estimated product retention in excess of two years, this leaves us with a substantial amount of incremental profit margin on our member ads. While marketing and advertising expense increased, we continued to achieve efficiency in other operating areas. Non-GAAP technology and content costs, which exclude stock-based compensation expense, declined from 12.9% of revenue in the third quarter of 2007 to 11.8% for the comparable period this year. General and administrative costs also declined on a non-GAAP basis from 18.2% of revenue in the third quarter of 2007 to 14.7% in the third quarter of this year. Our non-GAAP customer care and enrollment costs remained flat as a percentage of revenue at 12.9%. We believe it is critical in a touch economic environment to be judicious about every dollar we spend to run our company. Our non-GAAP operating margin, excluding the effect of stock-based compensation, was 19% or $5.4 million as compared to 23% or $5.2 million in the third quarter a year ago. Third quarter non-GAAP operating income grew 5% as compared to the third quarter of 2007. Our approach to how we invest and manage our cash remained conservative. About a year ago, when we saw early indications of problems in the mortgage credit markets, we decided to implement more conservative investment policies for our cash. During the most recent credit market turmoil, we have continued to carefully monitor our investment portfolio and make appropriate adjustments as necessary to carry out our current highest priority investment objective, the safeguarding of our capital. Currently, over 75% of our cash and marketable securities consist of cash, US treasury funds, US government agency funds, or direct investments in US government agency securities. The remaining investments are in high-grade corporate bonds, commercial paper and CDs that we plan to hold to maturity. With respect to the bonds, commercial paper and CDs, more than 65% of these instruments have maturities of less than six months and over 85% of them matured in less than one year. I believe that our conservative investment approach positions us well to weather to the current market environment. Because of our approach, however, we are not earning the kind of interest rates that we would otherwise. Interest and other income was approximately $900,000 during the quarter, down year-over-year from $1.4 million in the third quarter of 2007. Interest and other income, almost all of which reflects interest earned on our invested cash, cash equivalents and marketable securities, continued to be impacted by further declines in interest rates, somewhat offset by increasing cash and investments on our balance sheet. We expect our interest income to decline in the fourth quarter from Q3 levels. Our GAAP pretax income of $5.4 million in the third quarter of 2008 was lower than the $6.2 million generated in the third quarter of 2007. On a non-GAAP basis, excluding the effect of stock-based compensation in both years, our pretax income was slightly lower at $6.4 million as compared to $6.6 million in Q3 of last year because of our record application volumes and aggressive approach to growth in a challenging economic environment this quarter. As a reminder, the majority of our marketing and advertising spend is driven by submitted application volumes and is expensed upfront has incurred while our revenue was recognized later over the life of the member. Therefore, in periods of increased application growth, seasonal or otherwise, marketing and advertising expenses can grow at a faster rate than revenue. It is important to note that we estimate that our 2008 effective tax rate for GAAP purposes will be over 40%, even though we expect to pay cash taxes of 4.5% or less for the year. This is mainly due to significant net operating loss carryforwards that reduced the cash taxes we pay. Our federal NOLs coming into 2008 were approximately $100 million. This includes NOLs related to stock option deductions that are available to offset future corporate income taxes, but are not considered an asset for accounting purposes. The NOLs resulting from such stock option activity, which totaled more than $58 million for federal purposes coming into this year, will not reduce our future GAAP income tax expense, but to the extent we can realize these deductions, we will obtain a cash flow benefit from them. Our expected cash taxes for 2008 have increased from what we estimated last quarter due to recent changes in California’s tax code. A majority of our state taxes are in California where our headquarters are located. As you may know, the State of California is experiencing very significant budget deficits. And in the budget that was just passed, the state suspended the use of net operating losses to offset corporate taxes due in 2008 and 2009, and also limited the use of tax credits to offset payments in those years as well. These changes do not affect the amount of NOLs and credits that we expect to ultimately use to offset future California taxes, but it will result in paying more cash taxes in 2008 and 2009 than we anticipated. Third quarter GAAP net income was $3 million as compared to $3.7 million in the third quarter of 2007. Non-GAAP net income, excluding the effect of stock-based compensation in both years, declined from $4.1 million in the third quarter of last year to $3.7 million in the third quarter of 2008. This decline reflects primarily our increased investment in marketing and advertising during the quarter. We remain highly profitable and continue to generate strong cash flows. Our cash flow from operations grew 7% to $8.3 million from $7.7 million in the third quarter of 2007 primarily driven by our income for the quarter. Year-to-date our operating cash flow was $22.8 million, reflecting 24% growth over year-to-date cash flow for the same period in 2007. Capital expenditures for the third quarter of 2008 were approximately $900,000. As we mentioned in our second quarter earnings call, capital expenditures this quarter as well as in Q4 of this year will reflect a one-time project aimed at expanding our data center operations and capabilities. Primarily driven by our cash flow from operations, our cash and marketable securities balances increased to $143 million at September 30, 2008. Our cash and marketable securities constituted more than 94% of our total assets, excluding deferred tax assets, at the end of Q3. Given this and the fact that we have no debt, we continue to believe we have a very strong balance sheet. Finally, based on the information currently available, we are reaffirming the guidance for the full year 2008 that we updated in our last earnings call with the exception of our guidance relating to stock-based compensation expense, which we project will be slightly less than the range of $3.8 million to $4.3 million that we previously provided. I want to remind you that these comments are based on current indications for our business, which are subject to change at any time. We undertake no obligation to further update our guidance. And now we’d like to open up the call for questions. Operator?
Operator: (Operator instructions) And your first question will come from the line of Steve Halper from Thomas Weisel. Please proceed.
Steve Halper – Thomas Weisel: Hi, good afternoon. So if you are looking at the third quarter submitted application growth, and clearly I'll draw the assumption, say, the marketing spend worked. Outside of that, did you look at the second quarter performance and say, what did we learn from that?
Gary Lauer: Steve, hey, it’s Gary. Yes. And I think what we learned in the second quarter was that we are in an economic environment that was much different than any of us anticipated coming into the year. And as a result of that, we looked at a number of things from a marketing standpoint. One is simply the message that we are communicating to consumers, eAccess is one, but affordability really has become key. Secondly that these products shouldn’t be viewed as something that is discretionary rather something that people really need; in fact, probably need even more in an environment like this. Third, we’ve been trying to take advantage of the growing unemployment numbers that we see and doing a lot of work in the COBRA area. We’ll be doing a lot more work in that area, as the next several months unfold for us. Fourthly, we’ve been doing more offline work than we’ve ever done before. And here, we think of offline as TV, radio and print media, but specifically TV and media. We’ve been doing remnant cable TV advertising. We’ve also been doing some very interesting experimentation in the direct response radio area as well. We have stepped up our PR outreach very significantly once again to get this messaging out and about. In fact, last night at midnight I was looking at the New York Times online and saw an article about what women versus men pay for individual health insurances. And we were prominently featured in that. So those are just some examples. But I think in total what we learned is that it’s a different environment than any of us, maybe all of us anticipated. And we’ve really been sharpening the pencil and really getting much more aggressive about the message and so on. And it’s working.
Steve Halper – Thomas Weisel: So when – I was watching CNN this past week, on Sunday in the morning. And that health show gave – mentioned to eHealth where consumers can go to get affordable health insurance. So, is that something that you go to CNN and you lobby for to build awareness, or did that just happen?
Gary Lauer: I wasn’t aware of that CNN reference. I’m pleased to hear that. That one may have just happened. To my knowledge, we have not gone to CNN specifically and we didn’t anticipate that program. But rather, we are out and about and talking to a lot of different media and so on, and being referenced in a number of different places. And I’d like to think through a lot of work, we're becoming kind of the de facto standard in this individual market, and that's very important for us. In addition to that, Steve, from a public policy standpoint, we published something called a cost and benefit survey every year, which ascertains what are people really paying for health insurance and really what they are getting for benefit. We will actually be releasing our latest version of that report in the next few weeks. That would get CNN’s attention, for example, as well.
Steve Halper – Thomas Weisel: And finally – yes, so CNN did give you a nice plug there. So that was good. And finally, I know that there is a lag on retention rates. Do you have any – let’s say – so you reaffirmed your guidance, but what does that assume in terms of retention?
Stuart Huizinga: Yes. In terms of retention, it basically takes what we thought what we estimated for Q3. And we took that as kind of the midpoint of what we are looking at. And then we’ve built an upside and a downside case for either less churn or more churn than that around that third quarter number.
Steve Halper – Thomas Weisel: Okay. And there is no way for really shorten that lag?
Stuart Huizinga: There is really no way for us to shorten the lag because of the lag in information. We don’t do the billing and collecting and so forth. So there is really nothing we can do there. But we do monitor the cash receipts that we get each month from the carriers. And those are up to date customers that are coming to us from our carriers. And we didn’t see anything significant that would lead us to believe that anything major was happening there, insurance currently.
Steve Halper – Thomas Weisel: Okay. And then as you role out your ’09 year guidance at some point, you’re going to base your assumption based on the lag metric plus these cash receipts, the reports of the cash receipts of the carriers?
Stuart Huizinga: Yes, absolutely. Yes.
Steve Halper – Thomas Weisel: And when would you provide ’09 guidance?
Stuart Huizinga: We expect to do that on our next call.
Steve Halper – Thomas Weisel: In like January?
Stuart Huizinga: Sometime in February, most likely.
Steve Halper – Thomas Weisel: Okay. Great. Thank you.
Stuart Huizinga: Yes.
Gary Lauer: Thanks, Steve.
Operator: Your next question will come from the line of William Morrison from ThinkEquity Company. Please proceed.
Robert Coolbrith – ThinkEquity Company: Hi, good afternoon, gentlemen. This is actually Robert Coolbrith on the line for Bill. It looked – despite the growth, which I congratulate you on, in the applications, it looked as though the conversion of applications into members may have come down a bit quarter-over-quarter, looking at maybe 60% last quarter and now it’s something to 57%. Could you maybe speak a little bit about some of the dynamics there and maybe what – is it just a blip or do you have any commentary on that?
Stuart Huizinga: Yes, actually – this is Stuart. We actually don’t see much change from the prior quarter in terms of our, what we call, our close ratio. I think where you're probably getting those numbers that you are getting is by lining up the approved numbers and deriving the approved applications for this quarter and comparing that to the submitted applications for this quarter.
Robert Coolbrith – ThinkEquity Company: Yes, that’s right.
Stuart Huizinga: That ignores the time lag that happened here. A lot of our – some of the applications this quarter are going to get approved next quarter. And this is a seasonally high submitted application quarter as well. So a lot of those are going into next quarter, whereas last quarter was a seasonally submitted application quarter and that’s where a lot of the fruits come from this quarter.
Robert Coolbrith – ThinkEquity Company: That’s helpful. Thank you. I just also wanted to ask on the new Anthem numbers that you put out for the eApproval in California. Is there any way for you to sort of seeing if that’s having a broader impact up on the marketplace, whether it's sort of creating rising tide not just for Anthem but for the California market in general, or is it possible that they are just sort of stealing share based upon being an eApproval carrier?
Gary Lauer: Yes. That’s a good question. Clearly they have taken – I think they’ve taken some share because 89% is a very significant growth number for outpacing obviously our total growth to leverage growth. But we also think that it’s attracting some new incremental business as well, because people come to the Internet and come online, expecting to be able to do things quickly. And that’s exactly what eApproval delivers for them. As I commented, we’ve got two new carriers we’ve just launched with and we’ve got several others in the backlog as well. So we’re starting now to see the traction in the adoption that frankly we hope for, but also expect it.
Robert Coolbrith – ThinkEquity Company: And then just finally quick question on public policy. Reviewing some of the proposals, it seems as though there may be a component of guaranteed issue in the Obama plan, but it seems a little bit vague to me from reading the materials. So I was wondering if you have a better perspective on guaranteed issue and whether or not it’s accompanied by a mandate in that plan were it to come to pass?
Gary Lauer: You’ve asked a really good question. John Desser and I were in Washington last week, maybe with several very prominent democrats, several of whom may be very much involved in the new administration if it is Obama. And we had some discussions about guaranteed issue and mandates and so on. There is a lot of different opinions and viewpoints. There is certainly not any plan today that that’s hard set. I think if you talk to the health insurance carriers, what you’d hear from them is that guaranteed issue for them is acceptable and quite workable so long as there is a mandate, because they have got to have a pool that’s representative of the entire population. They can't have one that's imbalanced. And I think what we learned last week is that people in Washington in the Democratic Party recognize that something like that would have to be. If there is guaranteed issue, we would certainly be pushing hard for some kind of a mandate there as well. And by the way, I would also add that I think whether it’s a Republican or a Democratic President, we think this individual market is going to get a lot of attention, a lot of support. And it should be, we think, good for the marketplace, good for lot of consumers, and very good for us.
Robert Coolbrith – ThinkEquity Company: All right. Great. Thank you very much.
Operator: Your next question will come from the line of Jim Friedland from Cowen & Company.
Jim Friedland – Cowen & Company: Thanks. First, a question on marketing. Assuming that we stay in a tough economic environment for a while, is it safe to assume that you will stay at the upper boundary of that marketing expense range that you’ve given us? And then the second question relates to the average commissions that you are generating from your members. Assuming that the growth rate slows, shouldn’t – just given the mix, shouldn’t we see a – and I think we saw this quarter a very slight year-over-year decrease in the average commissions that you are generating. And again, I just wanted to confirm if you still expect 5% year-over-year increase in price points for IFPs. Thanks.
Stuart Huizinga: Yes. On the commissions per member question –
Jim Friedland – Cowen & Company: Yes.
Stuart Huizinga: That’s correct. The more the mix if it were to shift more towards individuals that are in their second year or beyond. We do earn a lower commission in those years. And were it to shift in that direction, that would result in lower commissions per member. On the flipside of that, we generally see lower churn rates on people that move into that second year and beyond as well on the flipside of that equation.
Jim Friedland – Cowen & Company: And you still see about 5% year-over-year increases in IFP plans from the carriers on average?
Stuart Huizinga: Yes, somewhere in that range. I’d say low to mid-single digits on premium inflation is what you'll see.
Jim Friedland – Cowen & Company: Great. And sort of your marketing thoughts?
Stuart Huizinga: Yes. Our marketing thoughts, obviously our marketing expenses are very closely tied to application volumes. So that’s the biggest driver of where those costs go. And I think, as you saw in this quarter, our tendency is towards growth and we are not going to limit that growth to keep it in a percentage range, the 35% to 39% range that we talked about earlier. We would necessarily keep it strictly within that range if we saw growth opportunities that we saw this quarter. I would expect that at least in the short-term here next quarter to be towards the higher end of the range there.
Gary Lauer: Hey, Jim, this is Gary. I’d like to add to that. That 20% to 25%, if you look back over the history of our company, is kind of what we feel is a really good application growth range. We’ve gotten ourselves back into the low end of that range, but we’re really happy to be there. We spent a little bit more, certainly than we typically do, in this past quarter. But we saw some good opportunities and we pursued them. And I think the other point I would make that Stuart had mentioned is that, if you put just the growth percentage aside, the sheer volume of applications was really big this past quarter, the biggest ever in the history of our company.
Jim Friedland – Cowen & Company: Okay. Great. Thank you.
Gary Lauer: Thank you.
Operator: Your next question will come from the line of Carl McDonald from Oppenheimer.
Carl McDonald – Oppenheimer: Thank you. The applications number looked pretty good this quarter. The new membership number wasn’t as good, sort of consistent with the last quarter. I should point out the approval rate is fairly consistent. So it doesn’t appear as though like the underwriting standards have changed all that much. So do you have any color in terms of – is it approved members that just are choosing not to take the product, or is it a great amount of attrition? Any insight there?
Stuart Huizinga: Yes. It really goes back to my earlier comments on the time lags that come into play here. We don’t have all the results yet from the submitted applications that came in in Q3. We are still getting notified of members even today that come from those applications. And so when you look at approveds for Q3, you’re really looking at a mix of submitted applications that came in Q2 and came in the earlier part of Q3. And now that we’ve got higher submitted application volumes in Q3, you’re going to see a lot of that lag over into Q4.
Carl McDonald – Oppenheimer: Okay. But even if I look for, I mean, more than just the third quarter, if I look at year-to-date or your projection for this year versus what you’ve done in prior years, it looks like that trend still holds.
Stuart Huizinga: It looks like that – the trend meaning –? I’m sorry.
Carl McDonald – Oppenheimer: The trend towards less new members approved for application received. Or actually – I’m sorry, let me rephrase. The less new members added to the eHealth plan relative to the applications received.
Stuart Huizinga: Well, I guess all I can say is that our conversion rates that we expect to – when we’re finally done with the numbers for this quarter, we expect those to be basically equivalent to what we saw a quarter ago.
Carl McDonald – Oppenheimer: Okay. On the second question, you had mentioned at the Investor Day, at least beginning the thought process around a share repurchase program. Any updated thoughts there?
Gary Lauer: Only that we’re looking at it presently, evaluating it. It’s been such a tenuous market. And we’ve seen so much turbulence in the market that it – that’s part of the mix of different factors we’re evaluating right now. This may be a little bit different than it was 90 days ago, but we’re looking at it actively right now.
Carl McDonald – Oppenheimer: Thank you.
Operator: (Operator instructions) And your next question will come from the line of George Sutton from Craig-Hallum. Please proceed.
Ryan Bergan – Craig-Hallum: Good afternoon. This is Ryan Bergan in for George. Aetna mentioned a clear move by small employers to reduce healthcare cost by shifting it to the employees, which rather fits you well. Anything new that you are working on with Aetna or others to specifically take advantage of this?
Gary Lauer: Nothing specific with Aetna, but with all the carriers. We continue to add more products. We’ve got more carriers coming to market. I noted yesterday that Cigna in their earnings release talked about the importance of the individual market that it’s new to them and how they are very aggressively pursuing it. You saw the comments from Aetna. We are hearing it and seeing it from others as well. And it seems to reinforce the things that we’ve been seeing and saying for the last year or year-and-a-half, which is that this is the growth part of the business for these carriers. And for a lot of reasons, good, bad, whatever, employers exiting the market in terms of providing it to employees; employees opting out; there are more people coming to this individual market. So I think you’ll continue to see more products from carriers that’s all good for us because we’re with the marketplace essentially. And I think it’s also getting more attention of policy makers in DC. And one of the things that we’re getting very vocal about is the tax treatment of these products. As you know, you’ve heard me say this many times, employers can deduct 100% of the cost of health insurance from their taxes. Individuals can’t deduct a penny. And that’s an inequity that both Democrats and Republicans that we have talked to agree needs to be addressed. If it is – and how it is, I don’t know, but if it is, that’s really important for this marketplace and for us as well. So I think you’re going to see a lot of really interesting positive activity for us in this marketplace over the next couple of years from the carriers and from legislators.
Ryan Bergan – Craig-Hallum: Okay. And then on your last call you mentioned the dual forces of higher gas prices and higher food costs being negative to your customer base. Is it logical to suggest you should see the opposite impact now?
Gary Lauer: Well, perhaps – I just put gas in my car today for $3 a gallon. So it’s been a month ago when it was $4. And I think that may help. On the other hand, you’ve got more people who are losing their jobs. So we’ve got to convince them that they have got to extend their health benefit, either through COBRA or through an alternative, which can be more affordable. There is so much media attention right now on how bad the economy is and how people are spending and so on. You would guess as good as I, but I read a lot of people saying that that’s affecting consumer behavior as well. So I think you’ve got a lot of pressures kind of coming and going that are changing almost on a daily basis. It's a very uncertain time. But again, I just want to emphasize that we think the message that we have is very important, it's resonating. People react to it. Many people understand how important it is to have health coverage for themselves and their family members and their children. We’re able to get many people covered very affordably.
Ryan Bergan – Craig-Hallum: Okay. Thank you.
Operator: (Operator instructions)
Gary Lauer: Okay. It sounds like – there’s no more questions. I’d like to thank everybody for participating today and look forward to talking with you over the next several weeks as well. So, thank you.
Operator: Thank you for your participation in today’s conference. This concludes the presentation. You may now disconnect. Have a wonderful day.